Operator: Welcome to Superior Industries Second Quarter 2023 Earnings Call. We are joined this morning by Majdi Abulaban, President and CEO; Tim Trenary, Executive Vice President and CFO. I'll now hand over the call to Tim Trenary. Thank you.
Tim Trenary: Good morning, everyone, and welcome to our second quarter 2023 earnings call. During our call this morning, we will be referring to our earnings presentation, which, along with our earnings release is available on the Investor Relations section of Superior's website. I am joined today by Majdi Abulaban, our President and Chief Executive Officer.  Before I turn the call over to Majdi, I would like to remind everyone that any forward-looking statements contained in this presentation or commented on today are subject to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Please refer to Slide 2 of this presentation for the full Safe Harbor statement and in the company's SEC filings, including the company's current annual report on Form 10-K, for a more complete discussion of forward-looking statements and risk factors.  We will also be discussing various non-GAAP measures today. These non-GAAP measures exclude the impact of certain items and, therefore, are not calculated in the coins with U.S. GAAP. Reconciliations of these measures to the most directly comparable U.S. GAAP measures can be found in the appendix of this presentation. I'll now turn the call over to Majdi to provide a business and portfolio update.
Majdi Abulaban : Thank you, Tim, and good morning, everyone. Thank you for joining our call today to review our second quarter results. I will begin on Slide 5. I am very pleased with our results this quarter, highlighting our continued focus on commercial discipline and operational excellence. This while our portfolio continues to drive growth.  More seriously, we are delivering value-add sales and margins above pre-COVID levels. We are seeing tandem recovery in industry production, both in North America and Europe, reflective of the continued easing of supply chain constraints and semiconductor shortages.  During the quarter, we saw a strong growth with nearly all of our OEM customers. However, as in the last quarter, a substantial portion of the growth in North America was driven by retail to rental companies, an area where we do not have significant content. The European aftermarket remains soft due to the looming recessionary concerns, high inventory at wholesalers and pricing interest rates. Despite these challenges, our FX adjusted value-added sales grew by 7% in the quarter, supporting the 17th consecutive quarter of year-over-year content growth. We also achieved a strong adjusted EBITDA of $52 million, along with an EBITDA margin of 26%, near all-time high. We have been successful in our collaborative dialogues with customers in aligning our pricing with rising input costs. This, combined with portfolio-driven content growth has resulted in strong and by the way, also near an all-time high value-added sales for the quarter.  Further, we are continuing to optimize our portfolio to support long-term profitability. Last quarter, we discussed our 80/20 approach where we are further assessing our current book of business to strategically prune parts that are underperforming. We have done this in North America in our North America business and are shifting focus now more holistically to our European operations. I will speak to this later in the presentation. In addition, our global focus on overhead cost reduction continues. We are on track with our plan to achieve a 10% reduction in overhead expenses. Demand for lighter wheels and larger wheels with premium finishes continues. Content per vehicle grew 13% on a year-over-year basis and large parameter premium wheels now represent over 50% of our shipments to OEM customers. Finally, our ability to capture these secular tailwinds, combined with a disciplined approach to working capital management and capital expenditures continues to enhance our overall financial profile.  For the quarter, we maintained a strong liquidity position of almost $100 million. CapEx prudent is contributing to this effort with year-to-date capital spending at a low $22 million. The significant reduction in payables, which by the way, Tim will speak to later, will reverse in the third quarter.  Slide 6 highlights the strong performance we have achieved since 2019 compared to the broader industry. The key point here is that while production remains down 12% versus four years ago, we delivered substantial growth in value-add sales, expanded our margins, reduced net debt and increase content per vehicle, all this in the same time frame. These results underscore the meaningful improvements to our operations that are key develop in a very challenging environment.  Moving on to Slide 7, which showcases a few of our launches this quarter and how commercial discipline, combined with our differentiated portfolio has resulted in sustained content growth. These launches illustrate the accelerated adoption of our product technologies and how premium content is driving our new business wins. The right side highlights the combined success we have had in improving pricing to reflect input costs and the continued adoption of content drivers, a strong 16% increase since 2021. We expect to continue this trajectory well into the future and our content story plays out. Moving on to Slide 8, which provides perspective on the current operating environment. Global industry production, driven by the easing of supply chain constraints has continued the momentum from the first quarter. Q2 production in our two regions increased 14% over the previous year, yet remain below pre-COVID levels. Having said that, volatility, unfavorable mix in North America and the decline in the aftermarket segment in Europe continued to challenge our operating environment.  As we move into the second half, we are guarded in our assumptions given the looming UAW contract negotiations in North America and the potential pullback in Europe as we believe that recent gains there was driven by backlog and inventory destocking. Despite these challenges, we are pleased with the stabilization of supply chain constraints, the industry preference for our localized footprint and the pent-up demand for light and larger premium wheels. We see the talent supporting our long-term profitable growth. Slide 9 highlights our growth in relation to the wider industry during the quarter. Industry production in our regions, again grew 14% in the second quarter and production from our key customers grew around 13%. In contrast, our value-added sales grew by almost 7% in the quarter and with adjusted for the aftermarket declines in Europe, our core OEM business grew 11% close to market. The GM lines shutdown in the second quarter further pressured our top line as we have a significant share of the T1XX produced in that plant. These factors, combined with the unfavorable fleet mix in North America are expected to abate in the second half.  Further, we have continued to prune our portfolio with a focus on profitability through our 80/20 approach. This is a subset of our broader efforts related to our focus on improving overall business performance in our European region. I'm going to speak to this next. Again, it is important to note that we delivered significant growth in value-added sales in recent years, which the rest of the industry is now catching up to. As we move on to Slide 10, I want to discuss our new term initiatives for narrowing the current motion gap between our North America business and Europe. We see a significant opportunity as we look at the region on a holistic basis. This is similar to our approach we had in North America a few years ago. It starts with our operations, carefully assessing capacity and utilization using the 80/20 approach to optimize our portfolio and business placement.  We are improving capabilities in all of our plans to create flexibility. There's another way, eliminating constraints where plants are specialized for one product or customer. An example of this is improving our paint capabilities in all of our plants. Further, relative to pruning the portfolio, our focus is on quality, not the quantity of wheels.  An example here is extremely complex, low-volume wheels that consume ascended capacity in high-cost locations. In addition, we will be optimizing the warehousing operations of our aftermarket business around our manufacturing footprint in Poland and here, we are reviving our approach to wholesalers. Further, we will be consolidating our administrative functions around low-cost service centers. In terms of customers, we have seen the benefit of commercial discipline and the focus on improving pricing to reflect input costs. We are also leveraging our local-for-local footprint to capitalize on short-term wins with the recent position of anti-caking duties on wheels produced in Morocco, our Poland footprint becomes a competitive advantage as OEMs look to further localize their real supply.  Lastly, as it relates to Europe, we are commercializing our LWPC technology to enable lower cost lightweighting for our OEM customers. This further broadens the lightweighting options available for our customers, especially as electrification momentum accelerates. We are a technology leader in Europe with a diversified customer base of leading premium customers, we are confident that these actions will further enable us to serve our customers by elevating our competitive position in this region.  In conclusion, I am pleased with our results this quarter. Our portfolio strategy continues to deliver growth, and our team continues to execute and manage the business. As we look through the second half of the year, we are squarely focused on optimizing costs, strengthening cash generation and capitalizing on the industry recovery. Now I will turn the call over to Tim to provide more detail on our financial performance. Tim?
Tim Trenary: Thank you, Majdi. The recent supply chain constraints that the automotive industry has endured continue to moderate vehicle production for 2023, as forecasted by IHS market is forecasted to be up but still about 10% below pre-COVID levels in our markets. Elevated vehicle pricing and vehicle financing costs, consumer inflation and recession concerns continue to be a drag on the industry.  We have and will continue to pursue opportunities to adjust our manufacturing and administrative cost structures to reflect the reduced level of light vehicle production. This quarter, we recognized a $2.6 million charge arising from a further reduction in force in Europe. This will reduce annual payroll costs by approximately $2.2 million. This reduction in force in Europe is part of a larger initiative to reduce manufacturing and administrative overhead by $10 million annually.  Our cost structure in Europe, especially in Germany, is not as flexible as in North America. We are exploring additional actions in Europe to further adjust our manufacturing and administrative cost structures. Let's look at the quarter on Page 12, second quarter financial summary. Net sales decreased to $373 million for the quarter compared to $432 million in the prior year period, and value-added sales increased to $200 million for the quarter compared to $186 million in the prior year period. Adjusted EBITDA was $52 million or 26% of value-added sales. We incurred a net loss of $100,000 for the second quarter or a loss per diluted share of $0.35 compared to net income of $11 million or earnings of $0.07 per diluted share in the prior year period.  The second quarter year-over-year sales bridge is on Page 13. To the far right, aluminum costs passed through to customers was down $74 million or by 30% compared to the prior year period. The cost of aluminum has declined significantly from a year ago and has almost normalized. Value-added sales increased by $14 million or 8% compared to the prior year. More than all of this increase is recovery of cost inflation and higher content per wheel, which continues to climb. Our pivot late last year to negotiating appropriate price increases to offset cost inflation, the cost of align production schedule volatility and lower fixed cost absorption on lower light vehicle build is drawing to a close. Elevated fleet sales in North America and a very soft aftermarket in Europe continued to be headwinds and currency benefited net sales by $3 million.  On Page 14, second quarter 2023 year-over-year adjusted EBITDA range. Adjusted EBITDA for the quarter increased to $52 million compared to $51 million in the prior year. The adjusted EBITDA margin for the quarter was 26% compared to 28% in the prior year period. The margin in the second quarter of last year was boosted somewhat by the timing of customer recoveries.  An overview of the company's second quarter 2023 free cash flow is on Page 15. Cash flow from operating activities was a use of $28 million of cash compared to cash flow from operating activities of $12 million in the prior year period. This decline is primarily attributable to a reduction in payables at quarter end, most of which is aluminum payables because of a pullback on aluminum purchases in the back half of the quarter.  We signed the aluminate payables impact at approximately $30 million, which should snap back in the third quarter. Cash used by investing activities was $6 million compared to $16 million in the prior year. This decline represents a decrease in capital expenditures in the quarter compared to the prior year period. Cash payments for non-debt financing activities were $3 million compared to $4 million in the prior year. Free cash flow for the quarter was negative $37 million, more than all of which may be attributed to the fore described payables contraction at quarter end. An overview of the company's capital structure as of June 30, 2023, can be found on Page 16. Cash on the balance sheet at quarter end was $181 million, an increase of $59 million from the prior year, partly attributable to the refinancing of the company's turbo late last year. Funded debt was $639 million at quarter end, and net debt was $458 million, a decrease of $14 million compared to the prior year. At the end of the second quarter, liquidity, including availability under the revolving credit facility was $199 million.  Superior's debt maturity profile as of June 30, 2023, is on Page 17. The revolving credit facility was undrawn at quarter end. We are in compliance with all loan covenants. The $250 million of SOFR-based interest rate swaps we entered into a year ago in anticipation of the term loan refinancing or in the money because of defense rate hikes. Against expense is about $5 million less than it would otherwise be. The company's full year 2023 financial outlook is on Page 18. Our financial outlook this quarter remains unchanged from last quarter. We are maintaining our guidance ranges for 2023 of $15 million to 15.8 million deals, net sales of $1.55 billion to $1.63 billion, value-added sales of $755 million to $795 million and adjusted EBITDA of $170 million to $190 million. We continue to expect cash flow from operations of $110 million to $130 million and capital expenditures of approximately $65 million. We continue to model a 25% to 35% effective tax rate for the year.  In closing, we delivered a solid quarter. I'm very pleased with our teams, especially the operations, procurement and commercial teams. This concludes our prepared remarks. Majdi and I are happy to take questions. Caroline?
Operator: [Operator Instructions] We will take the first question from Michael Ward from Benchmark. The line is open, now please go ahead. 
Michael Ward: Thank you. Good morning everyone. General Motors claims to have some issues getting vehicles from Mexico to the U.S. Did you guys have any issues at all at the border with components?
Majdi Abulaban : Yes, that's a great question, Michael. Actually, in addition to the aftermarket business, the biggest impact we've had is what you just described, which is with General Motors in North America because we have significant content on the T1XX vehicle that still [indiscernible] It was unexpected. It was a lot longer than we expected actually. So the answer is yes, Michael.
Michael Ward: Okay. So now General Motors records the revenue when it crosses the bridge. When do you record the revenue?
Majdi Abulaban: We record the revenue when they pick up the wheels in Mexico.
Michael Ward: And then can you guys say the term, could you quantify the aftermarket business in Europe because German production was up 30% or so, right? Vehicle production in the quarter.
Majdi Abulaban: We've done very well in Europe. I mean we're right up there with the above market on revenue from that standpoint and the aftermarket business represents about 10% of our business in Europe and really, that's been the only bulk that, that team had.
Michael Ward: Was aftermarket previously like 20% and it's down a bit, is it [multiple speakers]?
Majdi Abulaban: No, my comment was all around that range.
Michael Ward: And then can you quantify the EBITDA performance in Europe year-over-year? Was it down?
Tim Trenary: Well, we don't report publicly, Mike. This is Tim, by the way. We don't report publicly the EBITDA performance by region. We do provide in our SEC statements. The second quarter of which will be published today, a regional breakout of our sales and operating income margin. So you can get from our public filings a sense of the performance of the different regions, as Majdi said during his comments, for North America over the past two to three years is markedly improved and frankly, the performance in Europe has deteriorated somewhat.  So we have turned our attention for some period of time now turn our attention to the European operations, have made a number of changes to the operations already and continuing to make changes. For example, I mentioned the charge we took to reduce the payroll by $2 million. So we've had some success in influencing favorably the margins in Europe in the last few months, but we have more work to do.
Majdi Abulaban: Michael, look, if you recall that when we started in 2019, this team's focus was on improving the performance in North America, and we set out to improve the by 500 basis points and it was a combination of all the things you see that or whether it's portfolio or footprint or pricing or technology.  So now we see a strong opportunity to improve the performance of that business as we look at it holistically. We've been busy responding to COVID, to volatility, negotiating pricing, getting performance in the plants. Now we're shifting to the next phase.
Michael Ward: Perfect. And it sounds like the payable is just merely a timing difference?
Majdi Abulaban: Yes. 
Operator: We will take the next question from line Gary Prestopino from Barrington Research. The line is open now, please go ahead.
Gary Prestopino: Good morning, Tim and Majdi. Really interesting to me that a couple of years ago, it was the North American margins that were lower versus the European and now that's kind of flip flop. I guess, which is a testament to how well you fixed what was going on in North America but in Europe, with what you're doing and looking at your business, when do you think you will have that exercise completed? Or is that something that is going to continue to impact fiscal '24 as well?
Majdi Abulaban: No, Gary, just like we did in North America, and you've been there, right? We started this process eight month ago. We have a very, very clear plan with actions on all dimensions. We know how to get there. My expectation is similar to North America, we'll be there in less than the year and I'm hopeful early '24.
Gary Prestopino: Okay. So early '24. Do you feel that you could basically equilibrize the margin profiles between North America and Europe? Or is there always going to be inherently a lower margin in Europe for whatever reason?
Majdi Abulaban: Well, right now, let me step back a bit. If you look at Europe and the complexity we have there, it's much more complex than our North America business. The technology is complex. The competitive landscape is different. So our focus really now, Gary, just bumping up that margin 400 basis points and if you go through the numbers, frankly, you'll see more opportunity. So our objective is to get as close to that as possible.
Gary Prestopino: Okay. And then lastly, would you just remind me, you talked about Germany being pretty inflexible on a labor issue. How much of your production in Europe is out of Germany? Or is any of it?
Majdi Abulaban:  I'll let Tim add to this, but less than 10% of our capacity is in Germany.
Gary Prestopino: All right. Thank you very much.
Operator: There's no further questions in the queue. I will hand it back over to your host, Majdi Abulaban for closing remarks.
Majdi Abulaban : Thank you, everyone, for joining our call today. I would like to thank the Superior team for their hard work and efforts. We are operating in a very challenging environment and you continue to rise. Thanks, everyone, for attending.